Operator: Thank you for standing by. This is the conference operator. Welcome to the IGM Financial Fourth Quarter 2023 Analyst Call and Webcast. As a reminder, all participants are in a listen-only mode, and the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Kyle Martens, Treasurer and Head of Investor Relations. Please go ahead.
Kyle Martens: Thank you, Betsy. Good morning, everyone, and welcome to IGM Financial's 2023 fourth quarter earnings call. Joining me on the call today, we have James O'Sullivan, President and CEO of IGM Financial; Damon Murchison, President and CEO of IG Wealth Management; Luke Gould, President and CEO of Mackenzie Investments; and Keith Potter, Executive Vice President and CFO of IGM Financial. Before we get started, I would like to draw your attention to our cautions concerning forward-looking statements on Slide 3 of the presentation. Slides 4 and 5 summarize non-IFRS financial measures and other financial measures used in this material. And on Slide 6, we provide a list of documents that are converted of our reference and available on our website related to IGM Financial's fourth quarter results. I'll now turn it over to James.
James O'Sullivan: Thank you, Kyle, and good morning, everyone. Turning to Slide 8. 2023 was an important year for IGM Financial. We made significant progress positioning IGM for meaningful growth including efforts during the year to streamline our organization and two important pairs of transactions. The first, of course, was the closing of an increased investments in ChinaAMC and a partial sale of our Great-West Lifeco equity stake. And the second was the equity investment in Rockefeller Capital Management in April and the sale of IPC to Canada Life, which closed during the fourth quarter. To capture the cumulative efforts to reposition IGM, we've introduced a new brand image and realigned our segments to represent our focus on wealth and asset management with a combined total of $389 billion in assets under management and advisement. Turning to Slide 9, looking ahead to 2024, we will be focused on leaning into our businesses, supporting them, and leveraging their competitive advantages to win in their respective market segments. Across our segments, we will continue to drive operational excellence, executing consistently and seeking to continuously elevate our products and capabilities. In terms of capital allocation, as we articulated at our Investor Day in early December, our top priority is to invest in the long-term success of our core businesses, IG Wealth Management and Mackenzie Investments. This will include investing in IG Wealth's segmented advice model and the leading middle office solution being implemented at Mackenzie. We have an attractive dividend that we are committed to and we know is valued by our shareholders. And with the renewal of our normal course issuer bid during December, we will look to offset stock option dilution and potentially take advantage of opportunities to repurchase shares at attractive levels during 2024. Turning to the results for the fourth quarter on Slide 10, adjusted EPS of $0.84 excludes the gain recognized on the sale of IPC to Canada Life, but it includes the impact of a negative fair value adjustment within IG Wealth Mortgage Banking operations. Keith will speak to this later in the call. Our AUM&A including strategic investments grew by 4.4% during the fourth quarter, driven by strong financial market returns, and significant net inflows across most of our wealth and asset management businesses. IG Wealth and Mackenzie's net flows results continue to be influenced by the current operating environment, and partially offset the growth from strong client returns. IGM Financial was once again recognized by Corporate Knights as one of the 100 most sustainable companies in the world. We were also recognized as a top 100 employer in Canada. Part of this recognition relates to how we engage with our local communities and our talent. Our talent is comprised of great people and leadership teams working across our businesses. They drove our businesses to new heights during 2023. We are grateful for all of their hard work, dedication and continued commitment. Turning to Slide 11, we remind everyone how strong the markets finished in 2023 with significant increases across most equity markets and the Canadian fixed income market. Slide 12 speaks to the Canadian operating environment from the perspective of mutual fund flows. Canadians continue to redeem from mutual funds on a net basis during the fourth quarter as the high interest rate and inflationary environment continued to weigh on households. Looking forward to 2024, the strong equity and fixed income market performance in 2023 will serve to improve investor sentiment and support some more constructive net flows view for 2024. However, we anticipate the current economic environment to continue to weigh on Canadian households' ability to save for their long-term financial objectives over the near-term. This is temporary. As the economic picture evolves and the interest rates find a normalized level, Canadians will turn their attention back to their long-term financial health and adjust as required to achieve their goals. Our focus on financial planning and advice is relevant throughout market cycles. As we move through this phase of the current cycle, financial advisors are there to help clients navigate this period of change. Slide 13 presents IGM's consolidated average AUM&A and earnings results, both of which I spoke to in my opening comments. Slide 14 now presents an adjusted net earnings view based on our realigned segments. As our core businesses benefit from focused investments and our other companies execute against their growth-driven strategies, we look forward to presenting the strength of each segment as we work towards the medium term earnings growth objective of 9% or better, which we outlined at our Investor Day. Slide 15 shows the Q4 ending AUM&A across our company, including the investments that we have made over 2023 and excluding IPC, our ending AUM&A was up by 35% versus Q4 2022. I'll now invite Damon to speak to the results of our Wealth Management segment.
Damon Murchison: Thank you, James, and good morning, everyone. Turning to Slide 17 of Wealth Management's fourth quarter highlights including IG Wealth, Rockefeller and Wealthsimple. IG Wealth ended the quarter with AUM&A of $121.2 billion, a solid increase of 6.1% driven by financial markets. Gross inflows of $3.1 billion represent another strong quarter. Net outflows were $228 million during the fourth quarter as we continue to see partial redemptions by our clients as they navigate the current environment, including paying down debt and funding their lifestyles in a higher cost environment. IG's gross outflows as a percentage of average AUA over the last 12 months remain well below the industry and ended the quarter at 11%, while the industry redemption rate was 16%. Both these rates remain relatively unchanged versus Q3. Client acquisition during Q4 continue to see our $1 million plus new client growth inflows represent more than 25% of total new client gross inflows. Also during the quarter, we're pleased to launch the iProfile Enhanced Monthly income portfolio. These portfolios are a great example of our capabilities showcasing the ability to create new products that address the needs of our clients today and into the future. I'll speak to more of this on an upcoming slide. Also on a later slide, I'll also provide an update on our wealth managers, Rockefeller and Wealthsimple. Both companies continue to serve strong execution while our Rockefeller relationship continues to grow, offering new opportunities for both IG and Rockefeller alike. Turn to Slide 18, you can see our Q4 flows. Our growth inflows continue to remain strong with both the fourth quarter and full year remaining relatively in line with 2022. Outflows continue to be partial in nature reflecting what we're seeing within the industry and similar to the last two quarters. January gross inflows represented our highest growth inflows in the last 10 years. I will note that our net for the month included $177 million related to a transfer of a mandate within the IG defined benefit plan over to Mackenzie. Turn to Slide 19. You will see that our IGM solutions as a percentage of total AUA remains strong. Client cash GIC's HISA positions continue to represent an opportunity including dollar average costing back into the market over time. We continue to believe that we're winning market share through new client acquisition and greater share of wallet. Lastly, our investments continue to deliver strong relative investment performance with 59% of our assets ranked 4 and 5 star and 92% plus rated 3 stars or higher by Morningstar. Turning to Slide 20. We continue to see strong new client acquisition, particularly with clients over $500,000 as our value proposition continues to resonate with the marketplace. During the fourth quarter, we had $244 million in growth inflows from newly acquired clients with over $1 million, representing over 25% of gross inflows from newly acquired clients during this quarter, a significant increase from 17% during Q4 2018. Over the course of 2023, you can see a continuation of our success within this segment, representing just under $1 billion in gross inflows for the year. This represents our best high-net-worth prospecting year in our history against this segment. As I spoke to at Investor Day, we are very pleased with our continued progress in the high-net-worth segment and we fully expect to see these percentages increase over time as we execute our high-net-worth strategy. Turning to Slide 21, I want to take a moment to speak to the industry wealth drivers. As a reminder, we view these drivers as representing a set of key financial challenges that we believe high-net-worth Canadians are going to have to navigate over the next 10 to 15 years, which I spoke to at length at Investor Day. The fourth quarter launch of the iProfile Enhanced Monthly income portfolios were developed with these in mind. With its predictable income and focus on performance and growth, it's a prime candidate for those preparing for and entering into retirement. The greater tax efficiency of these portfolios versus alternative solutions in the marketplace also touches on another important driver, tax planning and optimization. As we further migrate our business toward key high-net-worth segments investing in our current and future suite of managed solutions, will continue to provide significant opportunities for growth for our firm. Turn to Slide 22. This shows the productivity of our advisors, an increasingly important metric as we grow the business and focus on scaling our segmented advice model. The investments we are making, whether it be further digitalization of our business, providing advisors with next-gen financial planning tools and support or leveraging our private wealth planning experience have all fueled the ability for advisors to do more business, in more ways, with more complex clients. This emphasis on advisor productivity and operational excellence is a focus throughout all divisions of IG Wealth and we look forward to continued strong productivity growth. Now, let's turn to Slide 23. Here's important updates on Rockefeller's progress over the course of 2023. Client assets were up approximately 9.4% during the quarter, driven by strong markets as well as continued inorganic and organic growth. During 2023, client assets grew by 24.7%. Year-to-date organic growth has driven $3.9 billion in client assets or approximately $1 billion a quarter on average. Five new advisor teams were added during the quarter for a total of 21 during 2023. Over $120 million of acquired production was achieved during the quarter as the teams that joined Rockefeller averaged a larger asset base than the initial forecast. Lastly, I'm happy to report that during December, the management teams of Rockefeller and IG Wealth Management engaged at Rockefeller's offices in New York to share best practices and strategies that can benefit both organizations. This is one of the key strategic benefits we highlighted in April last year and again at our Investor Day. We believe collaboration will provide opportunities to build and strengthen a mutually beneficial relationship. Turning to Slide 24. The fourth quarter was an incredibly strong quarter for Wealthsimple as they continue to reinforce themselves as an important part of the Canadian wealth management ecosystem. Wealthsimple's AUA in Q4 ended at $31 billion, advancing by an incredible 24% or $6.1 billion, which represented record quarterly growth. On a year-over-year basis, AUA is up 69%. They continue to serve approximately 2.2 million clients and have experienced client growth of approximately 10% year-over-year. Wealthsimple is proving their ability to execute and they continue to deliver strong results. With that, I'll turn it over to Luke Gould.
Luke Gould: Thanks, Damon. Good morning, everyone. Turning to Page 26, a few comments on the quarter. First, our ending AUM was up 5% driven primarily by strong investment returns of 6.5% for our clients, which was 10% during the year. On point two, investment funds experienced net redemptions of $826 million during the quarter, which continues to be in line with the industry environment. While the returns generated for clients in 2023 rewarded clients for remaining committed to their financial plans to market volatility, we haven't yet seen improvements in investor confidence. In point three, we're very pleased to see a meaningful increase in the share of our assets in 4 and 5 star funds, increasing a 51% from 43% at September as we enter the RSP season. As we closed out January, we saw further improvements to 54% of our assets in 4 and 5 star funds. In point four, you can see some of our fourth quarter business developments. Most important as indicated at Investor Day, we are pleased to announce a deal with BNY Mellon to bring a leading, innovative and global middle office solution to Mackenzie. This middle office partnership creates an environment for investor professionals that puts us among global leaders. On the right, ChinaAMC’s long-term mutual fund net sales continue to impress with a 3% increase during the fourth quarter driven by net sales of RMB 49 billion or $9 billion that overcame weak market performance and reflected further market share gains. And Northleaf delivered $800 million in new commitments since our investment in Northleaf 12 quarters ago. Northleaf has averaged 1 billion commitments each quarter. Turning to Page 27, you can see the trended history of Mackenzie's net flows. As you can see during the quarter, we experienced outflows that were in line with the industry and on both the charts on the left and the right, you can see the trend is stable over the last 12 months. We believe their business is very well positioned for when investor confidence levels improve. Turning to Page 28, on the bottom left again, you can see our net sales rate is in line with the industry. With our boutique approach and diversified suite, Mackenzie tends to have the most consistent net sales among peers. And as mentioned on the right, you can see the improvement in Morningstar ratings to 51% in 4 and 5 stars, and as mentioned, we did see a further improvement in January. I'd remind that we target 60% of assets in 4 and 5 star funds with our boutique approach and the overall performance at December is the highest level we've had in over a year. Turning to Page 29, you can see our performance in net sales for our retail mutual funds by boutique. I'm going to make a couple of points on this slide. First, you can see strong long-term performance and evolving performance across a number of boutiques and we believe that we have a lot of compelling mandates in categories and demand to lean into through RSP season. I would highlight in the middle, our global quant equity boutique that we profiled at Investor Day, this Boston based team now has a 5-year track record and have really delivered with their emerging market mandates being ranked among the top in the world, as well as the very top quant in the investment database. While we're marketing this boutique and institutional, they also advised to an emerging markets mandate and a core global equity mandate on a retail shelf that we're actively promoting. I also do want to indicate that including this slide, but embedded into our fixed income and multi strategies boutiques is net sales of $40 million into our four Northleaf private asset funds that we pioneered for Canadian retail. These funds are scaling and now have $200 million in assets and have delivered very strong track record since launch with return of 28% of private equity and ongoing yield of over 10% on a private credit and a return of 11% on our infrastructure fund. On Page 30, it's an interesting time to the Chinese mutual fund industry. In spite of equity market declines during the last three quarters, the industry continues to generate strong net sales and growth in long-term mutual fund assets. At the bottom left, you can see that in Q4, net sales were RMB 318 billion overall and RMB 494 billion or CAD 90 billion into long-term mutual funds. Full year long-term mutual fund net sales were RMB 1.35 trillion, representing a net sales rate in excess of 10% of assets. The net sales for both the quarter and the full year were largely into fixed income funds and there were net outflows in active equity and balanced funds being offset by net inflows into ETFs. On the right, you can see the ChinaAMC’s market position continue to strengthen. They are now second largest in both long-term funds and overall mutual funds with market share increasing to 5.1% from 4.6% a year ago. On Page 31, you can see continued growth in ChinaAMC's long-term mutual fund assets, up 3% in the quarter and 16% in the year. Their long-term mutual fund net sales in the quarter were RMB 49 billion, as I’ve mentioned, or CAD 9 billion in the quarter and RMB 172 billion or CAD 32 billion during the year. This represents an annualized net sales rate of 24% of assets during both the quarter and the full year. Like the industry, ChinaAMC experienced good net sales into both fixed income funds and ETFs. And in spite of volatile financial markets, we're confident in ChinaAMC's ability to continue to grow market share as a bold innovator with a broad offering and strong distribution reach within the Chinese asset management industry. And on Page 32, you can see continued strong growth at Northleaf with just under $1 billion in new commitments in the quarter and $3.6 billion in the year. Fundraising continues to be diversified across private credit infrastructure and private equity offerings. And I'll now turn the call over to Keith Potter.
Keith Potter : Thank you, Luke, and good morning, everyone. On Slide 34, you can see key highlights for Q4. EPS of $1.76 reflects a gain on sale of IPC and excluding this Q4 adjusted earnings came in at $0.84 per share. I would also highlight that we paid down the short-term credit facility during the fourth quarter, and both IPC earnings and the financing costs up to November 30 are reported in discontinued operations. Adjusted earnings did include a negative fair value adjustment in the mortgage operations, which had an after tax impact of almost $0.03 per share. I'll speak to this more in a moment. On expenses, our 2023 operations and support and business development expense came in at 1.7% for the full year, slightly below our annual guidance. We are also updating our 2024 guidance to 3.5% growth, plus an additional 0.5% related to what I would call a geography change, where we were changing certain advisor programs at IG Wealth Management that will move approximately $5 million in expenses from asset based and sales based compensation to business development. As James mentioned, and as we signaled at Investor Day, we have realigned how we present our results to better characterize and simplify IGM's business as a wealth and asset management company. And finally, during the quarter, we marked up the fair value of our investment in Wealthsimple by 20%. And as a reminder, this is fair value through other comprehensive income. On Slide 35, you can see our AUM&A and flows, which now include IPC. And during the fourth quarter, we experienced volatility in our AUM&A and closed the quarter up 5.6%, while average assets were down slightly relative to Q3. Turning to Slide 36, we have our consolidated earnings at IGM on Point 2, the quarter-over-quarter improvement in our share of associate earnings is driven by Northleaf as a combination of higher revenue, lower expenses and a lower tax rate. The year-over-year change is a combination of the change in ownership position at Lifeco and ChinaAMC, lower run rate earnings at ChinaAMC after the few reductions we spoke to in Q2 call and higher earnings at Lifeco during Q4 of 2022. I'd also like to point out that the timing of earnings release has reverted back to following Lifeco for 2024. And as a result, we are recording Lifeco's share of earnings based on actual results. On Point 3, our operations and support of this development expenses for the quarter were up both on a sequential and year-over-year basis, which is in line with our previous guidance. On Page 37, we present the key profitability drivers for IG Wealth. Our advisory and product and program fee rates were flat quarter-over-quarter. And as a reminder, the advisory fee rate will vary based on mix of clientele and product mix such as cash and cash like assets. The asset based compensation rate was down 0.6 basis points during the quarter, a contributing factor to the drop is a change in certain programs that will result in lower ongoing asset based compensation. And this reduction will be offset by programs that are part of business development expense. I'll speak more to that as it relates to our guidance for 2024. On Slide 38, you can see IG's overall earnings of $101.7, million down 2.8% relative to Q4 2022. And this is primarily due to the impact of the negative fair value adjustment in the mortgage operations. The primary driver of the negative fair value adjustment was due to an effective economic hedge in our mortgage warehouse that did not qualify for hedge accounting under IFRS. As the hedge locked in, our fixed rate cost of funds and as rates fell in December, we recognized a fair value loss upfront. However, as we securitize the mortgages at lower interest rates, it will reduce funding costs and allow us to realize higher net interest income over the life of the mortgage. On Point 2, the combination of business development and operations support expenses were up 1.9% on a full year basis, in line with our previous guidance. And relative to Q4 2022, the increase in operations and support and business development expenses were driven primarily by investments in technology and just general operating costs. Lastly, you'll see at the bottom right of the slide we are presenting EBITDA, this is not a new disclosure and we are bringing it forward for completeness for those who track this metric. Moving to Slide 39, you can see Mackenzie's AUM by client and product type, as well as net revenue rates. Focusing on the top right, you can see the net management fee rate for third-party clients excluding Canada Life was 80.4 basis points, down from Q3 and this is driven by a mix shift in Mackenzie's AUM strategic partnerships. Turning to Slide 40, you can see Mackenzie's earnings of $49.4 million, 1.1%, operations in support of this development expenses were up by 1.4% on a full year basis, and this is below our previous guidance of 2% to 2.5% relative to 2022. Relative to Q4 2022, operations to support business development expenses increased by 0.3%. Part of the lower expected expenses are related to timing and are expected to shift into 2024. Turning to Slide 31, on 2024 guidance for operations and support business development expenses, there are two components that are important to focus on. First, we are revising our base operations and support business development expense growth guidance to 3.5% over 2023. This includes 4% at Mackenzie and a base 3% growth at IG. As mentioned, Mackenzie's expenses are slightly lower in 2023 and will shift some of the investment into the business into 2024. In addition to the 3% base growth at IG, as I commented a moment ago, there will also be a change in programs that will reduce asset based compensation and sales based compensation expense by approximately $5 million, but it will be offset by programs that will increase business development expense by the same amount. And this will result in an additional 1% growth in business development expense at IG or approximately 0.5% at the IGM level for 2024. And we view this as a geography change as we adjust programs versus net new incremental spend. Slide 42 has ChinaAMC results on the left, ending AUM of RMB 1.8 trillion was flat quarter-over-quarter. However, average assets were down 3% in the quarter. So with respect to earnings on the right, the sequential decrease is in line with total average assets being down. And as Luke commented, ChinaAMC continues to strengthen its leadership position in the China asset management industry in a top market environment. On Slide 43, you can see our new segmented view of earnings contributions from our respective companies in each segment. Wealth Management includes IG Wealth, Rockefeller, Wealthsimple and Nesto. Asset Management includes Mackenzie, ChinaAMC and Northleaf; and Corporate and Other includes Lifeco and Portage. I have two other comments. First, on Rockefeller, earnings are in line with our expectations. And second on Northleaf, earnings of $6.9 million after non-controlling interest are up over last quarter and down from last year. And as a reminder, in 2022, there were some one-time items as well as lower effective tax rate. In 2023, we've also experienced a lower effective tax rate. And as we progress into 2024, we expect earnings to be closer to about $4 million per quarter. Slide 44 builds on the previous slide, providing a summarized view of our ownership and value of our strategic investments by segment. Two points. First, as I commented, you can see the revised value of Wealthsimple. The change in fair value reflects an increase in public peer valuations during the quarter, strong performance of Wealthsimple, which Damon touched on, and a revised revenue forecast for the company. To help give consideration to IGM's value through some of the parts, at the bottom right of the slide, you can see the value of our strategic investments across our segments is approximately $5 billion. We'd also like to highlight that the supplemental package falls the realigned segments for strategic investments and we've provided a mapping in the appendix. So you can please reach out to the IR team if you have any questions related to this. That concludes my remarks, and I'll turn it over for questions.
Operator: We will now begin the question-answer session. [Operator Instructions] The first question today comes from Geoffrey Kwan with RBC Capital Markets.
Geoffrey Kwan: First question was just on RSP season. I mean it sounds like the comments are muted, given the current market environment. Just wondering if -- is there any insight you have on what you think February might shape out to be? Like do you think it could be a positive month for the industry and/or within IGM? And then any thoughts, you're getting anecdotes or those sorts of things when you think the monthly flows numbers for the industry might actually eventually turn positive.
Damon Murchison: Geoff, it's Damon. So RSP season this year is a little muted relative to what we expect in the past, but we are seeing a pickup in February, which is traditionally where you get one of the best months of the year. In terms of being positive, there's a number of things that would impact that. But we're feeling good about RSP season and relative to where we are. I know Luke will jump in and talk about it as well. In terms of the near-term outlook for the rest of the year, it is going to be a little bit of a tough year in the near term. As James talked about, there's just not a lot of cash on hand for a lot of Canadians right now, and many of them have to renew their mortgages in the upcoming year, and that's going to impact things. But at the same token, we do look at the over $2 trillion that's sitting on the sideline. And we do expect at some point, for that money to start to be reinvested for the long term. Obviously, not all of it is long-term money. But as that starts to roll in, you should start to see the industry's net sales start to pick up. Luke?
Luke Gould: Yes, sure. Damon, thank you Geoff, we have done -- so February will be positive, we're focused on the last 12-month trailing, like the year-over-year improvement. We haven't seen things start to improve yet, but there's some signs of life in places. But yes, right now, we just haven't seen it picking up. And I remind everybody, there's $2 trillion of deposits that's sitting a lot of in the sidelines. We haven't seen, that might start going back, but clients sure have been rewarded for sticking to the plans in 2023.
Geoffrey Kwan: Okay. And just my second question was on Wealthsimple. The AUA was up quite a bit quarter-over-quarter in Q4. A number of accounts was actually, I think, marginally down quarter-over-quarter. Aside from the positive market performance, what really drove that net flow increase? I think that there was some promotional activity that was happening during the quarter, not sure if that was really what was driving it?
James O'Sullivan: Yes, there was some promotional activity, Geoff, to be sure. And I would say that was a contributing factor, but not the only factor. I mean Mike Katchen and team have been working for many quarters to evolve that business model, to diversify the business, to strengthen it. And I think what Mike displayed at Investor Day was really early progress in that regard. So as we sit here today, this is clearly, once again, a fast-growing and very well-diversified business.
Operator: [Operator Instructions] The next question comes from Graham Ryding with TD Securities.
Graham Ryding: Sorry. Just with the Wealthsimple up 24% quarter-over-quarter, but I saw the number of clients were down, actually a little bit quarter-over-quarter. What's behind that?
James O'Sullivan: Yes. Thanks for the question, Graham. I can really only answer that question in a general manner. And what I would say generally is that as companies, including Wealthsimple, evolve their go-to-market strategies, their client bases will evolve. And Wealthsimple is actively evolving their offering. They're strengthening their business. And I would describe everything that has happened at Wealthsimple as thoughtful and deliberate of.
Graham Ryding: Okay. And then I think you mentioned that you increased your investment. How material was that? And did you flag what that number was?
Keith Potter: Yes, Graham, the actual transaction is detailed is confidential, but it was an immaterial amount. We increased our percentage of ownership by about 0.4%.
Graham Ryding: Okay. So not overly material. And then just on the IG Wealth side, I realize that there's still some headwinds, industry-wide for long-term funds, but there's been a noticeable drop-off as well on just the flows into your cash type products on the last 12-month basis. Is that just a reflection of high interest rates, inflation, deleveraging on Canadian households? Or what do you attribute sort of the drop-off into cash type products?
Damon Murchison: Yes. It's a combination of the fact that our advisers are doing a very good job of really trying to make sure that we dollar average cost back into the markets. We're a shop because we're a shop of financial planners, we preach time in the market, not timing the market. So you do have that. And you do have the fact that our advisers are not just using cash, they're using HISAs, they're using GICs, they're using money market funds as well.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Kyle Martens for any closing remarks.
Kyle Martens: Thank you, Betsy, and thank you, everyone, for taking the time with us this morning. With that, we can close out today's call.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.